Operator: Good day, ladies and gentlemen and welcome to Tandem Diabetes Care Second Quarter 2016 Earnings Conference Call. At this time, all participant lines are in a listen-only mode to reduce background noise but later we will conducting a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to introduce your first speaker for today Susan Morrison, Chief Administrative Officer. You have the floor ma'am.
Susan Morrison: Thank you. Good afternoon, everyone and thank you for joining Tandem's second quarter 2016 earnings conference call. Today's discussion may include forward-looking statements. These statements reflect management’s expectations about future events, product development timelines and financial performance and operating plans and speak only as of today’s date. There are risks and uncertainties that could cause actual results to differ materially from those anticipated or projected in our forward-looking statements. A list of factors that could cause actual results to be materially different from those expressed or implied by any of these forward-looking statements is highlighted in the press release announcing our Q2 earnings which was issued earlier today and under the risk factors portion and elsewhere in our most recent annual report on Form 10-K, quarterly report on Form 10-Q and in our other SEC filings. We assume no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or other factors. In addition, today’s discussion will include references to a number of GAAP and non-GAAP financial measures. Non-GAAP financial measures are provided to give investors information that we believe is indicative of our core operating performance and reflects our ongoing business operations. We believe non-GAAP financial measures facilitate better comparison to operating results across reporting period. For additional information about our use of non-GAAP financial measures please see the information under the heading use of non-GAAP financial measures in our press release. Kim Blickenstaff, Tandem’s President and CEO will be leading today’s call. And at this time, I'll turn it over to Kim.
Kim Blickenstaff: Thanks Susan, good afternoon everyone. Joining me on today’s call is our Chief Financial Officer, John Cajigas. I'm extremely proud of the progress we've made so far in 2016 across each of the companies key initiatives. We continue to grow and further penetrate the insulin pump market with our family of products and just as importantly we also continue to provide our customers superior care and support. At the same time, we are looking to the future advancing our product development efforts and managing the business toward profitability. Some quarterly highlights and recent developments are our achievement of 46% year over year sales growth, our 5 point year-over-year gross margin improvement, our 45 percentage point improvement in year-over-year operating margin, FDA clearance for the Tandem Device Updater, FDA clearance for a lower age indication for t:slim and meaningful progress on our artificial pancreas program. Our strong topline growth as a result of the increasing productivity of our salesforce, which we expanded from 62 territories to 72 territories in the first quarter. It’s also from offering three different insulin pumps to better address varying needs of people with diabetes. The t:slim is our flagship pump which we launched four years ago. This marks a milestone for our company as our growth historically has been 100% organic and later this year we will have customers who will be renewing under the typical reimbursement cycle for the first time. Earlier this week, we announced that t:slim is now cleared for people ages six and above where it was previously indicated for age 12 and above. We believe that with this expanded claim and t:slim’s modern look and easy to use interface we’ll able to bring benefits of pump therapy to this younger audience. Next is the t:flex pump which we launched just over a year ago in May 2015 designed for people with greater insulin needs, we've been very happy to see this pump meet needs for both people with type I and type II diabetes. Finally, t:slim G4 which we launched in September of last year provides the benefit of t:slim combined with Dexcom’s G4 continuous glucose monitoring. Demand for CGM integration remains high as it represented nearly 60% of the pump shipments in Q2. Our customer demographics for each products have remained pretty consistent. For example, above half of our customers continue to report being new to pump therapy. Also approximately 90% of our t:slim and t:slim G4 customers have type I diabetes and the average age has been the young 30s while for t:flex about 60% of customers have type I and the average age is slightly older in the young 40s. Offering multiple products has been a strong tailwind for us this year as have our number one customer service ranking in a recent expansion of the salesforce. We also have headwinds such as typical anticipated competitive launches and an evolving peer environment. The most notable change in the peer environment is the previously announced decision by UnitedHealthcare that effective July 1, 2016 most of their members over age 18 no longer have a choice among insulin pump providers. It was unexpected and disappointing decision as we strongly believe that insulin pumps are not a one size fits all solution and that having diabetes isn’t a choice but our people manage the therapy should be. Since the announcement, thousands of members of the diabetes community as well as prominent patient advocacy and professional organizations have spoken out against this decision. Last month, I had the opportunity to sit down with a member of UnitedHealthcare’s Executive Management Team who was key in making the decision. I appreciated his willingness to meet and the meeting was a constructive and candid conversation during which I shared clinical data, data on t:slim being easy to use and train, and compelling customer survey data that indicates that our intuitive user interface, this line has led to better outcome. We aren’t discussing further details of our conversations for competitive reasons. However, at a higher level I can say that we do not anticipate a near-term reversal of the UnitedHealthcare's decision but the door is open for future conversations and we look forward to continuing these discussions. As we shared on our May 3 press release approximately 8% of our pump shipments last year when to people who would not have been eligible for coverage under UnitedHealthcare’s new preferred relationship which is pretty consistent with what we saw in the first half of this year. As there were many open questions to me [indiscernible] following UnitedHealthcare's decision, we do not update or confirm our guidance at that time. As you'll see in today's press release we now have better clarity and have updated our guidance to account for the estimated impact. While UnitedHealthcare's decision is a headwind, it’s far from insurmountable for our business and we continue to have other favorable tailwinds and opportunities including several recent regulatory approvals in the ongoing expansion of our product portfolio which I'll be discussing next. As the fastest growing insulin pump company according dQ&A which is a leading diabetes research firm, we are working on ways to further our momentum in the second half of 2016 and beyond. Key to our growth strategy is the recently approved Tandem Device Updater which is exciting for both the near and longer term perspective. As a reminder, Device Updater is a Mac and PC compatible web-based tool that allows for the remote update of Tandem insulin pump software, this clearance combined with the flexibility provided by our pump’s touchscreen interfaces uniquely positions Tandem as the only insulin pump company to provide its customers access to new and advanced features without having to rely on the typical multi-year warranty hardware replacement cycle. Near term the first use of the Device Updater is for a deployment of the latest t:slim software to our customers who bought their t:slim prior to April of 2015. He began shipping t:slim pumps with updated software beginning in April last year. Device Updater will be used to deploy upgraded software for customers who bought their pumps prior to that time. This provides a great opportunity to demonstrate our commitment to our customers and to afford them access to a variety of product enhancements. Longer term, we believe the Device Updater will be a key differentiator for our company. It's a way for us to deliver ongoing innovation for our customers faster than the industry as we have been able to do in the past, which is a particular significance as a artificial pancreas effort accelerator. In the second quarter, we had a number of discussions with the FDA to gain clarity on open questions regarding future applications for the Device Updater. This has helped us refine our product portfolio and the timing of commercial launches which I'm going to take a few minutes to walk you through in detail. But key takeaways from a high level are we’re launching a new pump platform the t:slim X2 which we are planning to launch in the fourth quarter of this year. This new platform will be developed under class three controls to allow for upgradability to Dexcom G5 and G5 CGM integration and to support our future artificial pancreas program. We’ll also be launching an upgrade program as the pathway for eligible t:slim and t:slim G4 customers to get a t:slim X2. In addition, we’ll offer current t:slim and t:flex customers a way to access integrated pump in CGM information on a smartphone app. This is an approach that underscores our long-term commitment to our customer. Now for the details on our products and development. First you may recall we’ve been working with the FDA to determine if there is a path for us to turn on the Bluetooth radio that is already included in all of our t:slim and t:flex pumps to allow them to communicate with Dexcom G5 CGM sensors. There has always been regulatory uncertainty around this possibility since the t:slim and t:flex are build under class two controls that are required for sensor augmented pumps. Based on our conversations with the FDA, we concluded that there is not a predictive path for t:slim or t:flex pumps to be updated to enable to display CGM information on the phone. However there is a path for the device updaters to enable these pumps to communicate with the smartphone capable of displaying the pump and CGM information on a mobile application for a patience. We feel this may be an exciting alternative for t:slim and t:flex customers and we’re in active discussion with Dexcom to provide an app which displays both CGM and insulin data in one view. Ultimately, we want to provide customers with the options to see integrated pump and CGM information on their palm, their smartphone or both. The goal emphasizes the importance of our strategy to bring the t:slim X2 platform to market. That t:slim X2 pump will feature new hardware advancements including two way Bluetooth radio for communicating with more than one external device at a time. The new radio along with the recently approved Device Updater which enables us to roll out remote software updates makes the t:slim X2 our pump of the future and unlike any other pump on the market. We believe these innovations have the potential to bring substantial benefits to our customer and to bring it a step closer to automated insulin delivery. First to feature we plan to roll on in the t:slim X2 platform will be the display of Dexcom G5 CGM sensor information directly on the pump. We are working to submit PMA supplement for this feature before the end of the year and are estimating a six-month review process. Subject to FDA approval customers who purchased the t:slim X2 prior to the availability of G5 CGM integration will be able to update the software using the Device Updater to add this feature for no charge. We expect demand to be high for the t:slim X2 insulin pump when we roll our first major software update for G5 CGM integration. So we're putting an upgrade program in place for our t:slim and t:slim G4 customers. For t:slim customers the purchase date of their insulin pump will determine the fee to upgrade to the t:slim X2 pump. The scale will range between no cost and $799. For t:slim G4 customers that will be two options, a service option on their existing pump for $399 or an upgrade to a new t:slim X2 for $799. John will be discussing our upgrade program in more detail as well as the anticipated recurring impact later on this call because the upgrade program will create accounting flexibility, it’s necessary for us to change the way that we report the growth of our business and provide guidance to the market including providing both GAAP and non-GAAP financial measures. Additional information is also available on the exhibit that we provided with today’s press release. Upgrade programs are not something we've done historically. However we evaluate each product launch separately and believe it’s important to offer an upgrade program to the t:slim X2 as customers may have decided the first let t:slim in the hope that it be upgradable to display CGM information. So we feel it’s the right decision to offer our customers this upgraded program. As we continue to build on the t:slim X2 platform after Dexcom G5 CGM integration is offered, the next feature we plan to launch in the X2 is a predictable low glucose suspend algorithm, this will be our first generation artificial pancreas product. The IDE for our feasibility study has been approved by the FDA and the study is scheduled to be completed in August. We expect to file another IDE for our pivotal study in early Q4 and based on the typical review timing, anticipate that the study will take place in Q1 2017. Our goal to launch this product by the end of 2017 is unchanged. We anticipate a six-month review process for this first generation pump algorithm because it will come on the heels of an FDA review of t:slim X2 with G5 CGM integration. The only different feature will be the algorithm. Based on our market research we believe this product with all the features and benefits t:slim will be competitive with other APE pump offerings as it predicts hypoglycemia which poses the greatest risk for people with diabetes. We expect our second generation AP pump algorithm will also be based on t:slim X2 platform and will include the treats target AP technology that we recently licensed from TypeZero as well as Dexcom CGM technology. Today TypeZero’s technology has been used in more than 28 clinical studies with more than 475 people with data reference in a number of journal articles. We anticipate that this agreement will allow us to remain on schedule for a pivotal trial in 2017 followed by a commercial launch in 2018. As you can see we are designing our products to offer a direct path for our customers who purchase the t:slim X2 pump beginning in the fourth quarter to use the Device Updater as a portal to having CGM integration and ultimately multiple AP algorithm options on their phone. This is a revolutionary approach to provide our customers and their healthcare providers with the confidence of knowing that the pump to choose today is also the device for the future. The last product in development I'd like to provide an update on is this the t:sport, this pump is about half the size of t:slim slim for people who seek even greater discretion in flexibility and will be controlled remotely. We’ve been in discussions with the FDA on the t:sport controller and whether it can be implemented at a mobile app or if needs to be a separate device. Based on their feedback and concerns regarding the use of mobile phones we believe that controlling a pump via mobile device will be a longer path to market. And so we plan to design the product to that it can be technical capable of being controlled using either a dedicated controller or mobile device. Because of the nature of our touchscreen user interface, we are well positioned to pursue either option. The final commercial implementation will be based on our ongoing dialog with the FDA. Since we are prioritizing the t:slim X2 with G5 CGM integration and multiple AEP algorithms in 2017 we believe t:sport will be a 2018 submission. We have a solid track record of delivering new and innovative products and features to the diabetes community. We expect our exciting lineup of products will continue our momentum as the fastest growing insulin pump company and will allow us to continue to meet the growing need with people with type I and type II diabetes. As you can see we are well positioned to expand the use of insulin pump therapy, which offer superior outcomes and quality of life. I’ll now turn the call over to John who will provide further detail on our results for the quarter, our financial guidance and our technology upgrade program.
John Cajigas: Thanks Kim, good afternoon everyone, overall I'm very pleased we continued to deliver high sales growth, demonstrated success in selling three differentiated pump offerings and made meaningful progress towards profitability. Today, I will be reviewing the rolling 12 month and Q2 results, discussing our updated 2016 guidance and providing an overview of our technology upgrade program. Looking at our sales and product shipments, first I'll discuss our rolling 12 month metrics which we continue to view as best indicators of our progress followed by some particulars for future. Our sales for the rolling 12 months ended June 30 were $87.9 million, an increase of 48% or $59.4 million for the previous 12 month. This growth was mainly driven by the increasing productivity and recent expansion of our salesforce as well as the contribution of t:flex and t:slim G4 pumps that were launched in May and September 2015 respectively. Pump shipped for the rolling 12 months ended June 30 were 18,289, an increase of 44% from the previous 12 months. The t:slim G4 and the t:flex represented 52% of the pump shipped during the most recent 12 months demonstrating that people are gravitating to the differentiated features of our newer products. As of the end of Q2 our cumulative shipments have grown to more than 42,000 pumps. Our average productivity for territories over the rolling 12 months ended June 30 increased to 23 pumps per monthly for territory and 18 pumps for monthly territory for the previous 12 months. Looking at some of the details of our Q2 sales and pump shipments, our sales were $23 million, up 46% from $15.7 million in Q2 2015. Pump sales accounted for 79% of our total sales compared to 83% in Q2 2015. We shipped a total of 4,582 pumps of which 1,498 pumps were t:slim, 2,591 were t:slim G4 and 493 were t:flex. The average productivity of our salesforce in Q2 was 21 pumps per month for territory compared to 19 in Q2 2015. Moving on to cost of sales and gross margins. Our gross margins for the rolling 12 months ended June 30 was 39%, up from 31% from the previous 12 months. Our gross profits during those periods increased 84% to $34.1 million from $18.5 million. Volumes continued to play a significant role in our gross margin progress with pump shipments increasing 44%, cartridge shipments increasing 65% and infusion sets increasing 91% during the rolling 12 months ended June 30 compared to the previous 12 months. Our overall gross margin for Q2 was 36% compared to 31% in Q2 2015. Our gross profit for Q2 was $8.2 million compared to $4.8 million in Q2 2015. The 5 percentage point improvement in our Q2 gross margins compared to 2015 was primarily related to the increased production volume and manufacturing efficiencies and leveraging our three pump products, cartridges that utilize much of the same core manufacturing operational infrastructure. We recently received FDA approval to manufacture refurbished t:flex and t:slim G4 pumps. Our ability to now utilize refurbished pumps for all three of our pump offerings will have a positive impact on our future warranty cost. Also, there is a reduced cost component in the t:slim X2, which will have a positive impact on the cost to manufacture that product in future quarters. As part of our normal planning to support the growth of our business, we recently signed a building lease to add approximately 50,000 square feet of space for facility footprint. As previously discussed on our SEC filings, key terms of the lease are that is a seven-year lease with a flexible extension option for additional 3 to 5 years. We anticipate the new lease will commence in December and that we will move into the space sometime in Q1 2017. We expect that we will transition substantially all of our manufacturing operations to the new facility which has a lower rent and operating cost structure in the space these groups currently occupy. We will transition our manufacturing operations over a 6 to 9 months period; the vacated space will then be repurchased for other corporate needs. We will also benefit from seven months of free rents in the new space starting in February. Looking at the rest our P&L, our operating loss for the rolling 12 months ended June 30 decreased to $66.2 million from $75.6 million for the previous 12 months. Our rolling 12 months operating loss included non-cash expenses of $11.9 million for stock-based compensation and $5.1 million for depreciation and amortization. For the previous rolling 12 months our stock-based compensation was $14.7 million and depreciation and amortization was $4.9 million. Our operating margin for the rolling 12 months ended June 30 improved considerably to negative 75% from negative 127% for the previous 12 months. This 52 percentage point improvement was primarily due to sales growth, improvement in our margin and our ability to leverage our operating costs over the sale, manufacturing and customer support requirements of multiple products. During the last 12 months, our operating expenses only increased 7% year over year while our revenues grew 48% and our gross profits grew 84%. We expect this trend of leveraging our operating expenses to continue as we progress towards profitability. Our operating loss for Q2 was $17.1 million resulting in an operating margin of negative 74% compared to operating loss of $18.7 million and operating margin of negative 119% for Q2 2015. The 45 percentage point improvement was driven by 46% increase in our sales and a 5 percentage point improvement in our gross margin. During Q2, we recognized non-cash stock-based compensation expense of $3 million compared to $3.3 million for Q2 2015. Our depreciation and amortization expense in Q2 was $1.4 million compared to $1.2 million in Q2 2015. Additionally, our operating expenses in Q2 grew only 7% from $23.5 million in Q2 2015 to $25.2 million in Q2 2016 despite our increasing the number of sales territories by 20% in our continuing investment in our commercial organization to support the growing customer base in our higher sales expectations. With respect to cash at the end of Q2, our cash and investment balance was approximately $56 million. In addition, we saw a one-time option until the end of this year to access up to an additional $35 million under our debt arrangement with CRG. Our cash and investments decreased sequentially by $14.1 million compared to decreasing $17.7 million in Q1 and $18.6 million during Q2 2015. Moving onto guidance, first I need to highlight that the guidance we are providing today excludes any estimates of the cost and accounting of our technology upgrade program. As Kim mentioned, the upgrade program creates a number of accounting complexities that can make in a local relationship between our historical metrics and trends not meaningfully comparable to our future GAAP results and trends. For example, beginning in the third quarter our reported GAAP sales and cost of sales will not have the same relationship to our pump shipment metric as compared to prior periods. In the future, we will provide operating results on both a GAAP and non-GAAP basis and annual financial guidance on an non-GAAP basis. We believe providing our financial results and guidance on a non-GAAP basis will be the most useful information for comparison to our historical performance. It is difficult to estimate or predict the timing and utilization of the updated program since its impact is highly dependent on future events. As a result, it is not possible for us to provide GAAP based guidance on sales and operating margin for 2016 or to provide a reconciliation of GAAP guidance to non-GAAP guidance with any degree of certainty. A we noted on our press release and in Kim’s remarks, we are updating our annual 2016 sales and operating margin guidance primarily as a result of UnitedHealthcare reimbursement decision. Approximately 80% of pump shipments last year were made to people who had not have been eligible for coverage on the UnitedHealthcare’s new preferred relationship. However, we are not reducing our annual guidance by this full amount due to the positive tailwinds in our business that Kim discussed such as increasing rep productivity, recent product clearances and upcoming product launches. We now expect our full-year 2016 sales guidance to be in the range of $105 million to $110 million for all products on a non-GAAP basis. Excluding the financial and the accounting impact of the upgraded program, this effectively represents an annual sales growth of 44% to 51% as compared to the GAAP results for 2015. With respect to the technology upgrade program that Kim introduces we expect that t:slim X2 to be core product offering in the future. We will no longer offer the t:slim following the launch of the t:slim X2 and we will no longer offer t:slim G4 following the availability of the t:slim X2 with Dexcom G5 CGM integration. A detailed summary of the terms of our upgraded program can be found in the exhibit to today’s press release and on our website. Some key aspects of the program are upgrades to the t:slim X2 pump will be available to all eligible t:slim and t:slim G4 insulin pump customers on a tiered upgrade fee structure. Some customers choosing the upgrade to new t:slim X2 pump will be charged an upgrade fee that is dependent on the purchase date of the current t:slim pump. There are three purchase date windows with different upgrade fees ask able to each window ranging from no low cost to $799. Once we’d launch the t:slim X2 in Q4 will notify customers of the availability of the upgrade program, they will have a limited period of time to notify that they’re electing to participate in the program. Once participated customers receive their new t:slim X2 they will be required to return their current pump to us. Our t:slim G4 customers will have two different choices, they can opt to pay an upgrade fee of $799 plus the return of their existing t:slim G4 pump in exchange they would receive a new t:slim X2 pump. Or they can elect to upgrade their existing t:slim G4 pump for $399 via service process that will begin after the t:slim X2 with G5 integration is FDA approved. If they elect this choice, the customer will mail in their existing t:slim G4 pump for a hardware retrofit with a new Bluetooth radio and other modifications. Their same pump will be returned to them and will have the same update capability as a new t:slim X2 with G5 division. The upgrade program is scheduled to expire September 30, 2017. It is also worth noting as we saw in launching the t:slim G4 and increasing number of customers may delay their purchasing decision in advance of our t:slim X2 launch. So that they can include this product in their decision-making process. Also as I mentioned beginning in Q3 the upgrade program will trigger the deferral of sale and cost of sales associated with all t:slim G4 pumps told to customers who are eligible to participate in the upgrade program. The overall cost of the program as well as the amount and timing for differed sales and cost of sales will depend on multiple factors that are based on future events that are difficult to estimate or predict especially because Tandem has not offered an upgrade program in the past and does not have sufficient history to provide a basis to predict some of these factors. Such factors include the mix of pumps sold during the upgrade program period, the percentage of people who choose to upgrade, which upgrade path the program participants choose, the timing of the launch of the t:slim X2 and the t:slim X2 with G5 integration and the timing of the completion of the participates upgrade process after they launch. For t:slim customers, we currently expect the t:slim X2 will be available in the fourth quarter Therefore we expect to differ 100% of the sales for t:slim pumps shipped on or after July 1, 2016 as a right of return and differ the associated cost of goods sold for these pumps. For t:slim G4 customers, the future CGM integrated technology is expected to be available in mid-2017 pending FDA approval. Therefore for pump shipped on or after July 1, 2016, we expect to differ a portion of sales under guaranteed accounting rules. The portion of sales differed for each pump is determined at the time of its initial sale while primarily considering the difference between that date in relation to the anticipated availability of the upgraded pump. The actual amount that will be deferred will be determined by a valuation expert. At the initial sale we will recognize the full cost of the original pump. Also for both products, by the time upgraded pump is delivered r the service is completed, we will recognize the upgrade fee and either the cost of the new pump or the service. The deferred sales and cost of sales for each of these pumps will be recognized on a GAAP basis when the customer's upgrade is completed or when the program expires on September 30, 2017. As a result of the required accounting treatment there may be a significant portion of sales and cost of sales differed until at the end of the program. We expect that pump shipments for the remainder of 2016 will be heavily weighted towards Q4 because of the normal impact of seasonality as well the potential for customers to delay or ship their purchase of the t:slim or t:slim G4 pump until the t:slim X2 is available, even though there is no cost upgrade path for anyone purchasing the t:slim prior to the availability of the t:slim X2. As a reminder, Tandem allocates $100 for each t:slim G4 sold to a joint marketing fund to co-promote this product with Dexcom. This is not a term of our agreement with Dexcom for integrating their G5 or G6 technology with our t:slim X2 pump. However, as Kim outlined in our pipeline strategy, we feel CGM integration is an important offering for our customers and we’ll continue to promote its benefits. Moving onto operating margin, recognizing the progress we made in the last 12 months, our operating margin guidance range will remain at negative 52% to negative 62% for the full year 2016 but is now on an non-GAAP basis as it excludes the financial impact of the upgrade program. The guidance includes non-cash operating expenses of approximately $13 million to $14 million of stock based compensation and approximately $5 million to $6 million in depreciation and amortization. The fourth quarter of each year has historically delivered our strongest performance on a sales gross margin and operating margin basis. We believe this year will be similar on a non-GAAP basis but potentially even more backend loaded as we plan to launch t:slim X2 in the fourth quarter and since our new territories add in Q1, we’ll be reaching higher levels of productivity. We are still actively working to achieve an EBITDA positive fourth quarter this year on a non-GAAP basis excluding the impact of the upgrade program. This will be a milestone for our business and a significant step towards profitability on the sustained basis. With respect to cash, we believe there are some areas in which we can achieve cash flow breakeven with our current cash investments, cash available under our current debt arrangements with CRG and proceeds from our employee stock plans and the exercise of warrant. At a minimum, we continue to expect these resources will be sufficient for operating needs for at least the next 12 months. Key factors influencing our operating margin and cash flow expectations and ultimately our profitability timeline and potential capital needs include the continued commercial acceptance for our products, territory productivity, our ability to develop, submit and successfully secure regulatory approvals and commercial new product and product features and our ability to gain leverage within our operations as sales expand and our products gain market acceptance. Our cash burn for the remaining quarters of 2016 will be dependent on such factors as the level on timing of quarterly sales and gross margins, expenditures associated with project launch activities and trade shows, R&D in-clinical trial progress, manufacturing and facility requirements and general headcount growth as our operations expand. With that I’ll turn it over to the operator for questions.
Operator: [Operator instructions] Our first question for the day comes from the line of Jeff Johnson from Robert Baird. Your line is open.
Jeff Johnson: Thanks, guys. Can you hear me okay?
Kim Blickenstaff: Yes. We can.
Jeff Johnson: Hey, Good afternoon, guys. So just a couple of questions here. I just want to check, so I guess, John, a question for you. When you're going to non-GAAP guidance and you will report non-GAAP results, will the scenario be something like we would have sold X amount of pumps if we could have booked them all in the third quarter, but we have to defer it, so the GAAP number is this and the non-GAAP is the other. Is that kind of how we’re going to get presentation in third and fourth quarter?
John Cajigas: Yes. Very similar to what you’re saying. So what we will do is present the GAAP numbers according to the rules and then we will present certain non-GAAP numbers, very similar to how we do it today. If we shift it, then we would show you what the revenue would have been, had we recognized that so much how we’ve historically done it and that will be a reconciliation actually in the Q that reconciles the final GAAP number of sales to the final GAAP number of -- non-GAAP number of sales as well. And then you’ll see what’s got differed, what got recognized, maybe what got rated during the period and we’ll do that for multiple factors and multiple lines within the P&L. So just a couple of other things. Other things that we typically talk about on the call that aren’t sort of financial amounts, such as shipments and all that will be unchanged.
Jeff Johnson: Okay. And then in the non-GAAP number and the non-GAAP guidance, there is no presumption in there of upgrade revenue, anything like that. That is just pure kind of sales of new pumps and things like that, is that correct?
John Cajigas: Well, the upgrade fees that we will be charging will be recognized on the sales line.
Jeff Johnson: Are those upgrade fees, I'm sorry, are those upgrade fees included in your new non-GAAP guidance?
John Cajigas: No, they are not.
Jeff Johnson: Okay, so there could be upside from that if you get, which I’d presume you will get a decent amount of upgrade demand going to something like X2?
John Cajigas: Correct. Just realize what we're trying to do is, for us, it's really trying to get a lot of customers to a pathway in which they can access sort of what we believe we’ll offer in the future. So we're really trying to make this sort of a breakeven proposal on which we’re trying to make most of the pathways, sort of covering our cost and even some of them, we are actually incurring the costs like the no cost portion that we’ll incur here before the end of the year.
Jeff Johnson: Understood. And then, Kim, I think you did a good job of laying out all the differences between all the pumps and what have you. I just want to make sure I’m understanding the difference on t:slim X2, so you had to put a secondary Bluetooth in there and that secondary Bluetooth is what will allow you to communicate with the phone, is that right or that’s the one that then will allow you to display G5 details on the pump?
Kim Blickenstaff: Well, it’s a radio that has, it can go to two devices. So the original Bluetooth could not. So now, we will be able to have in the future an app that goes to a mobile phone. So that's why that new radio is going in there.
Jeff Johnson: Yeah. Understood. And then last question for me, just, John, it sounded when you gave the cash flow update and kind of the cash update, you’re now almost assuming you’re going to take that 35 million from CRG. In the past, I think that was a little questionable. Obviously, you guys have a lot going on here with moving manufacturing and a lot of new exciting products. I guess it's somewhat understandable, but is it fair to just presume you're probably going to have to exercise that 35 million at this point at the very least?
John Cajigas: I think we're still continuing to manage on the cash we have today, our burn is decreasing and typically our burn decreases throughout the year once we move past the first quarter. But it is an assumption that’s reasonable that we might take the money, but I have not committed to taking the money yet.
Jeff Johnson: Understood. Thanks, guys.
John Cajigas: And just to be clear, we have, until December 31, to take it and as soon as we take it, we’ll be paying interest on it. So at this point, I don't need to take it, so I won't take it.
Operator: Thank you. Our next question comes from the line of Rick Wise from Stifel. Your line is open.
Rick Wise: Good afternoon, everybody. A couple of questions. Maybe start with territory expansion, maybe Kim, just a little more color there, as you say, now, you are at 72 territories. Is your expectation still that that’s where we are going to stay and just looking ahead, I mean, should we expect sequential improvement in, maybe John in those, the pumps per rep per month. Obviously, fourth quarter should see a big one, but is it reasonable to still expect steady sequential improvement?
Kim Blickenstaff: I’ll just answer that first question. We do not have plans to expand beyond where we are. We believe that the territory improvement is always a function in time and territory and gaining experience, but the real wild card here is going to be having multiple products to sell and we are sort of guessing it, what we think productivity can go to because there has really not been a historical basis to set expectations. So John, do you have any comments beyond that?
John Cajigas: Yes. I would just add, we do expect the productivity to continue to increase. And as you mentioned, we have the seasonal impact, but even outside of the seasonal impact, we see territories are improving. I think having three products in the bags of the rep is very helpful. We’ve talked about that in the past. And now that we have a technology upgrade program, which has hindered us in the past as compared to some of our competitors, I think that is going to be an exciting thing for our reps to be able to offer our customers.
Rick Wise: Right. Talk a little more if you would about, you mentioned passing the possibility that as customers look ahead to the t:slim X2 platform that they could delay decision-making or purchases in advance of that. I just want to make sure I understood. First, what's reflected in your guidance, what have you assumed? And I guess I sort of ponder a little bit why should we see, I understand the waiting for the last year for the G4, but I'm not sure I understand since you’re giving such a clear-cut easy pathway for an upgrade why you might see those delays. I appreciate your caution, saying that, but little more color there.
John Cajigas: Sure. I think as we experienced with the G4, there were people sort of waiting for that product. And while you point out that there is a no cost upgrade path for these people who buy pumps, starting July 1 until we have the X2 available, maybe they don't want to worry about having to flip it out or change it and just want to wait until it's available and then just buy it then and they can live with their existing pump for a month or two, while we wait for the X2 to sort of launch in Q4. So it really comes down to just somebody from a convenience standpoint says, I could live for another three months until Q4 to be able to wait to see the X2 and not have to use a pump, get used to it, turn it back in, get a new pump and reset everything.
Kim Blickenstaff: I would add, one of the difficulty in giving guidance on this part of what is going to happen is that we really, really don't know how patients are going to behave in each one of these buckets, trying to get up to the X2 upgrades. So it will be an interesting time to see how our patient’s customers really react to the options that we’re laying out.
John Cajigas: And, perhaps, fair point. We really are trying to provide the greatest amount of flexibility that we're able to do, while controlling the cost of this and having a no cost path for people who buy pumps starting July 1 until X2 is available is purposeful in allowing people to do what you’re saying, Rick is that, there really shouldn't be any difference, but if there is a difference, we want to give them the ability to wait.
Rick Wise: Yes. Turning to the United comments, Kim, I think it's great that you were able to sit down. I understand your reluctance to communicate too much for all sorts of reasons, but two things, I guess. One, any -- and it's a tough question to answer. I appreciate, but should we feel less concerned, more concerned, are you less and more concerned that others will follow United's lead and another broader question, given this just steady flow, compelling flow of technology, differentiated technology, and let’s add in the pediatric indications that you have got. I mean that has to be at a minimum, some significant protection installation from this kind of thing and I mean, couldn't United look at you on the under 18, the pediatric indication alone. Again, are there options like that, sort of the kitchen sink question?
Kim Blickenstaff: Lot of questions in that question. Let me just say, it was a good conversation. I think we walked away understanding sort of the thinking behind their decision to go with exclusively Medtronic and so we’re going to work and try to bring them back evidence and information that possibly could help our case here. I think our whole strategy of having the X2 platform is that all of our future products are going to be class 3 products and so, we will be the only on in the industry actually to add these feature upgrades during that warranty period. So we know Dexcom is moving ahead on improvements. They went from the G4, which we had to the G5 that they’re marketing today. We can get there through the Tandem device updater. We can do that for G6, both of those are going to drive the AP program, a key part of the entire system is that CGM. So I’m hopeful that we can be responsive to UHC in terms of convincing them that we have a technology migration penalty that no one else can offer and I know that was part of the decision that we sort of heard through the communities. So we're just going to keep working at it and we hope that we can make progress, both from evidence we can give them and progress on our pipeline.
Susan Morrison: And to your secondary questions, Rick, so people who are 18 and under, they are able to actually purchase Tandem pumps today, so the pediatric indication does help to expand that offering for those folks, but really this preferred in network arrangements that’s in place is for people over 18, so there still is that flexibility.
Kim Blickenstaff: And we don't have any guess as to what percentage of that population that is.
Susan Morrison: We don’t. The numbers unfortunately aren’t very reliable. So it is hard to predict and then as far as other payers, we believe in customer choice and that most payers also recognize this value.
Kim Blickenstaff: I mean, you could probably bet this, it has been shopped around, but we’ve been very active, proactive here and so far we are not hearing that, there is a widespread wave that it’s going to happen.
Rick Wise: Thank you so much.
Operator: Thank you. Our next question comes from the line of Kristen Stewart from Deutsche Bank. Your line is open.
Kristen Stewart: So I was just kind of wondering the X2, I guess, do you guys have approval for it or I guess a high degree of approval I would assume at this point?
Kim Blickenstaff: It’s essentially at t:slim with a component changes, then, it will have to be manufactured under class III controls. But, to my understanding, there is no PMA required for this to get approval. So it’s really our own internal timeline on when we’re ready to go on this.
Kristen Stewart: Okay. So just a matter of getting all your docs in a row and so just launching it in the fourth quarter when you’re ready from a manufacturing standpoint?
Kim Blickenstaff: Yes. And I’d just like to point out that the G4 was our first class III product. So we really got experience, not only on the PMA side, but the class III manufacturing side. So the learning curve for us is not quite as steep and we have all those systems in place. So, as I said, all of our products going forward are class III and that's kind of company we need to be and we've really done a good job in getting there.
Kristen Stewart: Okay. So it will be a beginning of the fourth quarter, no real risk at that and so you will definitely be able to hit the seasonality of it.
Kim Blickenstaff: Yes. That's what we believe.
John Cajigas: We expect it'll be some time in the fourth quarter. There is nothing that is out of our control that we don't believe that we will be able to do that.
Kristen Stewart: Okay, perfect. And then I know you guys said that the X2 profitability is better, is there any way to quantify that at all?
John Cajigas: No, I mean the main differential that I discussed was that there are some components in the X2 that are the lower cost and highest quality than the previous component that were in the G4s or the t:slims. So it's really on the manufacturing costs that we’ll see, I haven’t provided any detail on how much or what components.
Kristen Stewart: Okay. And how have been the cost tracking from the disposables as well, any improvements there, I would assume, just from volumes, but?
John Cajigas: It’s fine, steady improvement. I think that has continued over the last 12 months, I don't think there is anything unusual there that I think is worth talking about.
Kristen Stewart: Okay. And lastly, I guess, as you’re getting back all these devices through the upgrade program, you’d mentioned approvals to refurbish. Are those ones that you can, I guess, refurbish and put back as X2s or will you be scrapping these and taking up losses and charges?
John Cajigas: We refurb them and use them for the original use that they were brought in for. So that we will continue to have some people that don't upgrade, that will stay on t:slims and so we will have -- this will add to the pool to be able to use it like those, we will use them for G4s, for the G4s to come back. There are other things like demos, training, other uses that we have that are called non-revenue generating that we will say a cost because we are able to utilize these.
Kim Blickenstaff: You want one Kristen?
Kristen Stewart: I will take one and I will have it on my desk. And so it will be a nice memento.
Kim Blickenstaff: The benefit of utilizing refurbished pumps is that it generally -- they are at a much lower cost than the -- utilizing a new pump when we use replacements. So it does help our warranty costs. And up until this point, the newer products, if we had to replace a pump, it was with a brand-new pump, which is more closely than our refurbished pump.
Kristen Stewart: Okay, perfect. Alright, thanks. I will get back with any other questions.
Operator: Our next question comes from the line of Bob Hopkins from Bank of America Merrill Lynch. Your line is open.
Bob Hopkins: Good afternoon. Thanks for taking the question. So I just wanted to circle back on two things. First on United and the question around other payers, I was just curious, Kim, how confident are you that you have a real sense for that the other payers will pass on what I agree is definitely being chopped around by Medtronic. So I just want to gauge your level of confidence that today on that really important subject frankly?
Kim Blickenstaff: Level of confidence, I can't guarantee anything, but from our other top payers, we are not hearing that there is a pending decision or really a lot of interest in going to an exclusive arrangement. I think these payers see things in different ways, depending upon their situations and so I'm not certain that the rest have the same motivations that UHC expressed to us, but that’s what I can tell you. I mean, obviously, it's a very high priority for our reimbursement folks and also for me and for Brian Hansen, our Chief commercial Officer. So we really want to be out there and proactive.
Bob Hopkins: And why do you think United has different priorities than the other payers. What makes them different from some of the other guys in terms of their willingness to move forward with something like this?
Kim Blickenstaff: I really don't feel like going to that from the discussions that I had, I feel those fall in the class of confidential sharing that they had with us.
Bob Hopkins: Okay. And then on the guidance, I mean, obviously there is a ton of moving parts here, but just to try to simplify things, if you look at the previous guidance you gave for 2016 and as you try to figure things out into kind of excluding the new thinks for a second, the new pump, the exchange program, if we just looked at sort of the UNH decision and then the strength of the base business, are you not lowering guidance on kind of the net of UNH plus the strengths in the base business. I just want to try to break this down as much as I can.
John Cajigas: Sure. Our previous guidance was 1.08 to 1.15 and historically we've seen about 8% of our business be UNH that would have been sort of unavailable to us under the new rules. So if you were to take and apply that percentage to those numbers and also apply sort of the seasonal distribution of our sales and which about 60% to 65% of our sales are in the back half of the year, you would infer or imply that our guidance to be 102 to 109 and our guidance is 105 to 110, recognizing that aspect as well as some positives that we see in the business.
Bob Hopkins: Okay. So I think I got it on that. That's helpful. And then the effect of this change program in the new pump are different issues with GAAP, non-GAAP.
John Cajigas: Correct.
Bob Hopkins: Okay. Rather than be at here, I will take the rest offline. Thanks very much for the time.
Operator: Thank you. Our next question comes from the line of Tao Levy from Wedbush. Your line is open.
Tao Levy: Great, thanks. Good afternoon. All right. So a few questions here, so how do you expect the disposables breakdown to trend for the rest of the year? One of the answers you gave was there is nothing notable about that, but was the lowest percentage that you guys have talked about in the past in terms of pump revenues versus total revenues?
John Cajigas: Well, our installed base continues to grow and the utilization among that is going to grow, so I gave this, our cartridge volumes have grown, our infusion set volumes has grown as well. As a percentage of revenues, I still maintain that I think pumps are going to be the lion's share of our revenues throughout our future. It's just because of the dynamics of the price points, as well as the activities that we have, the offerings that we have as well as what we see, what we can do with the update and so forth. And with the four-year cycle coming up and having renewals that also adds to the process. So I think you'll continue to see that, I think renewals will start in the fourth quarter, so that may generate more pump revenues than we have seen in the past as far as the percentage of sales. So I think it will bounce around pretty consistent to sort of what we’ve seen in the past.
Tao Levy: Okay. That’s great. And are there any other features with the t:slim, with the X2 that you haven't necessarily talked about or is that exactly the same as a t:slim plus the Bluetooth?
Kim Blickenstaff: Well, I’d come back to the fact that we did a study that we published last year and it's actually in the Journal of Diabetes Science and Technology and there is about 1300 responders and these are pumpers and nearly 91%, one operability for their pump, they have a very, very high level of comfort with doing software updates because they have experience with smartphones and so they expect their pumps to behave like smartphones. So that feature of having that upgrade ability, whether it’s for the software layer that operates the touchscreen or updates the touchscreen and provides new features and new screens and new different displays and so forth that could be that kind of a change, but I think most importantly, it's going to be the ability to follow the migration of the improvement of Dexcom CGM and then that is a driver to our AP program that will make the X2 very, very unique, because within a four-year cycle, we can add these features as fast as we can get them through the FDA. So I just think that's revolutionary. I think that's the way cellphones killed the Motorola Razr, we now all unexpected and so patients expected of their pump and I think there will be a revolutionary feature and advantage that we can bring to patients who really want this.
Tao Levy: But nothing necessarily on sort of like the disposables and accessories that would make it go more proprietary?
Kim Blickenstaff: No.
Tao Levy: And then just, how should we think about, as you go through upgrade program, entering into the fourth quarter, you are going to have potentially some replacements, what happens to those pumps if you’re kind of towards any warranty and you decide you want to pay the 799 instead of the several thousand that Tandem would have collected I guess with insurance company, how is that going to work?
Kim Blickenstaff: So if you're talking about somebody who potentially is coming up for warranty and has a choice of getting a brand new pump reimbursed or going to the upgrade program, one facet that should be made clear is that the warranty, just because we upgraded, we're not changing the warranty period. So very consistent to some of how our competitors have done it. So that is unchanged. So if you have a pump that you’ve had for two years, you upgrade and you have a four-year warranty, then you have two years remaining on your warranty. So that's a consideration that they have to make, whether it's a wait in the side, whether they should wait for their normal renewal cycle and get a new pump or to go ahead and upgrade through this program.
Tao Levy: But you could have some patients who want to pay the 799 instead of the 20% copay of getting a brand-new pump with four years?
Kim Blickenstaff: Yes. They will be dealing with the warranty issues, they could do that, and the question is 799 is the same to them as they are out of pocket costs, they had bought a new pump.
Tao Levy: Okay. And then just lastly on the timing standpoint, when do you expect to get the approvals for the G5 integration with the X2, is that mid-2017?
Kim Blickenstaff: Yes, mid-next year's what we’re forecasting.
Tao Levy: Okay, perfect. Thank you so much.
Operator: Thank you. Our next question comes from the line of Ben Andrew from William Blair. Your line is open.
Alexa Desai: Hi guys, this is actually Alexa in Fort Ben. We touched on a lot of the pertinent topics, so just a few quick questions from me, on the lower indication, how much of the market does that open up for pumps for you guys and then if, correct me if I’m wrong, this is only for t:slim, not t:slim G4, right?
Kim Blickenstaff: It is for t:slim only at this point.
John Cajigas: Yeah. That’s right. Do we have good estimate, Susan that we’ve given.
Susan Morrison: We don't unfortunately, just because of the demographics that are available are very hard to decipher between type I and type II and then age stratification there. And so unfortunately we don't. The one thing I would mention though is that today it’s at the discretion of a provider or of a health care provider if they want to prescribe the t:slim off label to somebody who is younger, it's really up to them to determine the best pump for their patient's needs, and today we do have people who will prescribe the product, people who are younger than 12, now would be anger than six and so it is really hard to know though, how many more people will actually purchase the pump because of the age indication, it's hard to kind of know what that incremental difference is.
Alexa Desai: Okay, that's helpful. And then I know you said the X2 is not going to be too different from the current platform. So is there any training differences associated with the X2 platform that for customers are at once you get that sales?
John Cajigas: No. It would be just like the current pump from a user perspective.
Alexa Desai: Okay. And then just I apologize if I missed this earlier, but the present distributor versus the present direct, is that similar to last quarter?
John Cajigas: I think it has, I think this quarter, it was 75% last quarter was 77%.
Alexa Desai: Okay. All right. And then that metric, so that metric is down, do you anticipate it moving down any further going forward or kind of stay in still at 75?
John Cajigas: It fluctuates, it really depends on which, who is buying, where our pump buyers within quotas they have different insurance companies. I do think that because United is in play now that the distributor percentage would probably be reduced because we were servicing those customers through a distributor.
Alexa Desai: Okay, all right, that's helpful. Thanks guys.
Operator: Thank you. Our next question comes from the line of Tom Backus from Piper Jaffray. Your line is open.
Tom Backus: Hey, guys. Good afternoon and thanks for taking my question. Most of mine have been asked, so I just have one quick one. And Kim, you had mentioned clinical data in your conversation with United Health, I was just hoping is that data being made publicly available and just hoping if you can give us a little detail on that?
Kim Blickenstaff: Now, it's not publicly available, it was internal surveys that we have done on our own customer base that sort of give us indications of will this thing better control and whether the use of the advanced features, because they’re so simple to use has an impact on all that. So we have come to a conclusion of what we are seeing on that, but we really haven't listed.
Tom Backus: Okay, it was retrospective and it was against. I guess injections, right multiple injections?
Kim Blickenstaff: It was against a bunch of different cut, you can imagine, we have looked at the entire variety of treatment options pretty and then post.
Tom Backus: Okay, that's all I had. Thank you very much.
Operator: Thank you. Our next question comes from the line of Ben Haynor with Feltl & Company.
Ben Haynor: Good afternoon, everyone. Kind of early on the warranty side of things, but you did sell a couple of hundred pumps in Q3 2012, I'm not sure exactly what month that launched in but have you started to see any upgrades from that yet or is it too early?
Kim Blickenstaff: It's too early and most of our sales are pump shipments in 2012, we’re in in the fourth quarter and probably heavily back-end loaded as of December.
Ben Haynor: Okay, that makes sense. And then on the t:sport, can you maybe talk a little bit about how that was received at the last couple of conferences and then any thoughts on whether the FDA might come around on the phone, customer phone control of it by 2018 submissions?
Kim Blickenstaff: In terms of reaction to it, I think everybody that has seen it thinks it’s just very, very slick, it is serving interesting hybrid offering between a patch pump and then a durable pump like we are offering with a t:slim, I mean, there are people that are coming off MDI that don't want to be taking a pump out because we are not worrying to be, and this way they are going to be varying the street and not show people that they are actually operating a pump and that's a very important feature in that segment of the market place. As of the whole control question, I mean, we just had the plan that the FDA is going to take longer to allow apps onto a cellphone that are going to operate a pump. I mean, there is a lot of angst about operating system changes and phones being updated and all they say our controllers that we are going to have trust over time. So the strategy has come out with a dedicated controller, which would basically have a software suite of t:slim on that controller and that will be the first bridge and we would probably, if we do get approval for an app based controller, continue to provide our dedicated controller as a service safety backup. But this is one of those really evolving areas that I think is going to take a while to settle out, so we are moving on that dedicated controller.
Ben Haynor: Okay, that's helpful. Thank you very much. That's all I have.
Operator: Thank you. Our next question comes from the line of Kristen Stewart from Deutsche Bank. Your line is open.
Kristen Stewart: I think you mentioned this earlier, but I can't remember, what is the pricing of t:slim X2, is that going to be the same as the t:sport?
Kim Blickenstaff: That's correct.
Kristen Stewart: Okay. And then I know there has been a lot of talk on United, but I was just wondering if you’ve had any positive tasks with any of the other payers and just going back to Kaiser, I know that was one you that had signed up a while back, just checking into see how that has been going?
Kim Blickenstaff: As I said, we have people in the field that are people that are working with payers and I am, they have regular visits and so forth, but we are going to have elevate this to my level and Brian's level and really focus on our top 10 or 20 providers to give them more exposure to senior management here at Tandem and have a good ongoing relationship with them. These payers are having growing patient populations and we are a part of that and think a lot of them see the benefits of easer to train, intuitive interface, all that kinds of things and are impressed by the fact that we have half of patient population, formed MDI uses and pumps are going to give you better clinical items. So those are the messages that we continue to want to try to get to the remainder of the payers that are out there and open it up to very senior level.
Kristen Stewart: Okay, but no payers in the last I’d say six months that are worth noting to coming on board?
Kim Blickenstaff: No.
Kristen Stewart: That you brought on board?
John Cajigas: No. Those are steady and we would have seen this last quarter a little bit of 20 bit of increase in utilization on our current contracts. But again, that fluctuates depending on who is buying our pumps and what insurance plans they have.
Kristen Stewart: Okay. All right. Cool. Thank you.
Operator: Thank you. [Operator Instructions] And it looks like we have no other questioners in the queue at this time. So I would like to turn the call back over to management for closing remarks.
Kim Blickenstaff: Okay, we thank everybody for joining us today and hearing along and sometimes difficult to understand story, so appreciate the patience. As for industry events, we are going to be at the American Association Diabetes Educators Conference, which is August 12 to August 15th here in San Diego. So we have a number of activities planned for that week and we're looking forward to educating healthcare providers about the new t:slim X2 and our exciting pipeline that we covered today and promoting our new lower age indication for t:slim. And also talking a lot about the value of the Tandem Device Updater, which we think is a very, very fundamental of our new product strategy going forward. We’re also attending a number of upcoming investor conference. On August 16, we’re present at the Annual Wedbush Conference in New York City, then on September 7, we’re going to be at the Baird Healthcare Conference and on 13th, we will be at Morgan Stanley Healthcare Conference and both of those conferences will be in New York. So, in closing, I think we've had a very strong first half of 2016, with great potential in the back half of the year of failure and beyond as we bring new and innovative products to the diabetes community. So we look forward to keeping you updated as we progress on our product pipeline and our growing customer base. Thank you for listening today.
Operator: Ladies and gentlemen, thank you again for your participation in today's conference call. This now concludes the program and you may all disconnected at this time. Everyone, have a great day.